Operator: Good day, and welcome to the ONEOK Third Quarter 2024 Earnings Conference Call and Webcast. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Mr. Andrew Ziola, Vice President of Investor Relations. Please go ahead, sir.
Andrew Ziola: Thank you, and welcome to ONEOK's third quarter 2024 earnings call. We issued our earnings release and presentation after the markets closed yesterday, and those materials are on our website. After our prepared remarks, management will be available to take your questions. Statements made during this call that might include ONEOK's expectations or predictions should be considered forward-looking statements and are covered by the safe harbor provision of the Securities Acts of 1933 and 1934. Actual results could differ materially from those projected in forward-looking statements. For a discussion of factors that could cause actual results to differ, please refer to our SEC filings. Just a reminder for Q&A, we ask that you limit yourself to one question and a follow-up in order to fit in as many of you as we can. With that, I'll turn the call over to Pierce Norton, President and Chief Executive Officer. Pierce?
Pierce Norton: Thanks, Andrew. Good morning, everyone, and thank you for joining us. On today's call is Walt Hulse, Chief Financial Officer, Treasurer and Executive Vice President, Investor Relations and Corporate Development; and Sheridan Swords, Executive Vice President, Commercial Liquids and Natural Gas Gathering and Processing. Yesterday, we announced the third quarter 2024 earnings and provided new consolidated guidance that includes contributions from EnLink and the pending Medallion acquisition. We also increased our full-year 2024 financial guidance on the stand-alone basis, for the second time this year. Our higher guidance expectations highlight ONEOK's ability to continue to deliver on synergy opportunities while also maintaining a strong fee-based earnings across our systems. Our stand-alone 2024 adjusted EBITDA guidance, which excludes contributions from EnLink and Medallion, is well over double ONEOK's adjusted EBITDA just five years ago. This extraordinary growth has been possible because of our employees' focus on excellence, service and innovation, our strategic assets and our intentional and disciplined approach to organic growth and acquisitions. It has been more than a year since we completed the acquisition of Magellan, and we continue to identify synergy opportunities related to the transaction exceeding our original expectations. In mid-October, we completed our acquisition of the controlling [indiscernible] EnLink Midstream. And today, I'm able to announce the expiration of the Hart-Scott-Rodino Act waiting period related to the Medallion acquisition. We look forward to finalizing that acquisition in the coming days. The EnLink and Medallion acquisitions continued to build off the complementary assets of ONEOK, providing significant growth potential by establishing a fully integrated Permian Basin platform at scale that will drive new service offerings for our customers. Expanding and extending ONEOK's footprint in the Mid-Continent and North Texas, providing a new asset position in Louisiana connected with the key demand centers providing significant synergies through connections of complementary asset positions and finally, delivering immediate accretion in supporting our capital allocation strategy. These acquisitions mark another exciting milestone in our company's history, building on our proven track record of shareholder value creation. There is much to look forward to with these latest announcements, but there's a lot of momentum in ONEOK's current businesses. I'll turn it over to Walt and Sheridan to discuss our latest guidance, increases and give a commercial update. Walt?
Walter Hulse: Thank you, Pierce. I'll start with a brief overview of our third quarter financial performance. ONEOK's third quarter 2024 net income totaled $693 million or $1.18 per share which included $0.04 per share of transaction expenses. Third quarter adjusted EBITDA totaled $1.55 billion. The year-over-year increase was driven by continued strength in the Rocky Mountain region, increased transportation services in the Natural Gas Pipeline segment and a full quarter contribution from the refined products and crude segment. Moving on to our updated guidance. In addition to increasing stand-alone guidance, we announced 2024 consolidated financial guidance, which does include contributions from EnLink and the pending Medallion acquisition, but excludes transaction costs. We expect a consolidated net income midpoint of approximately $3 billion and an adjusted EBITDA midpoint of $6.625 billion. EnLink will be a consolidated subsidiary of ONEOK for GAAP financial reporting purposes, and we expect to report EnLink adjusted EBITDA within each of ONEOK's corresponding business segments beginning in the fourth quarter of 2024. On a stand-alone basis, we now expect a 2024 net income midpoint of $2.945 billion and adjusted EBITDA midpoint of $6.275 billion, which is $100 million higher than our guidance increase in April. These midpoints exclude contributions from EnLink and the pending Medallion acquisition as well as related transaction costs in order to provide an apples-to-apples comparison with our original 2024 guidance. We continue to expect to meet or exceed our synergy expectations in 2024 and continue to identify additional related opportunities. Tailwinds from these synergies, sustained strength in our fee-based earnings, contributions from our acquired Easton assets and outperformance in our natural gas pipeline segment all contributed to our increased guidance. We continue to expect our total stand-alone capital expenditures including growth and maintenance capital to be in the range of $1.75 billion to $1.95 billion in 2024. This remains consistent with our initial guidance and does not account for EnLink or Medallion capital expenditures. As we look ahead, our financial outlook remains strong. And as noted, when we announced the EnLink and Medallion transactions, we expect ONEOK's total combined EBITDA for 2025 to be comfortably above $8 billion, which is double ONEOK's EBITDA run rate prior to the Magellan acquisition just two years ago. Following the close of these transactions, ONEOK expects pro forma 2025 and year-end net debt-to-EBITDA of approximately 3.9x and expect leverage to trend towards our previously announced target of 3.5x in 2026 as systems are integrated and growth projects are placed in service. I'll now turn the call over to Sheridan for a commercial update.
Sheridan Swords: Thank you, Walt. Beginning with the Natural Gas Liquids segment. Rocky Mountain volumes increased 7% year-over-year, driven by higher propane plus volume from solid production in the region, partially offset by less ethane recovery year-over-year. The Mid-Continent region also saw lower levels of ethane recovery during the third quarter as natural gas and ethane prices presented fewer economic opportunities for recovery. Permian Basin NGL volume benefited from increased short-term volume on our system in the third quarter of 2024. We expect short-term volume to be replaced with long-term committed volume as we near the completion of our West Texas NGL pipeline expansion. In the Permian Basin, the completion of two third-party processing plants that we had expected to contribute to third quarter volumes were delayed. We expect these plants to be completed and flowing volume in the fourth quarter. We expect a step-up in Permian Basin NGL volumes in 2025 from the ramp-up of these two new plants, additional plants coming online, new contracts and new volume from EnLink plants ramping up system. The West Texas NGL pipeline expansion and MB-6 fractionator are on track to be in service by the end of this year. On the West Texas NGL expansion, the full pipeline looping providing capacity of 500,000 barrels per day is expected by year-end, with remaining pump stations to be completed in mid-2025. The Elk Creek pipeline expansion remains on track for our first quarter 2025 completion. In Phase 1 of our Medford fractionator rebuild is expected to be completed in the fourth quarter of 2026 adding 100,000 barrels per day of capacity, with Phase 2 expected in the first quarter of 2027, adding the final 110,000 barrels per day for a total capacity of 210,000 barrels per day. This was our first quarter since acquiring the Easton Energy NGL assets, and we are happy with how these pipelines are performing and integrating into our Gulf Coast and Houston area systems. The system's existing capacity from Mont Belvieu to the Houston Ship Channel is performing at a higher utilization rate with throughput increasing by nearly 30% since acquiring the assets. We continue to expect to complete connections from the legacy Eastern system to our Houston-based assets beginning in mid-2025 through year-end 2025 which will help us realize additional synergies by maximizing the available capacity. Moving on to the refined products and crude segment. Gasoline and jet fuel demand benefited from a robust peak driving season and refinery maintenance across our system drove long-haul volumes during the third quarter. Total refined products volumes at nearly 1.6 million barrels per day was a new record for the system. In July, all of our tariff adjustments went into effect providing a mid-single-digit tariff increase across our refined product system. With the start of blending season in September, we didn't see much of an impact in the third quarter, but has seen an increase in blending activity since then. ONEOK continues to benefit from the ability to execute certain blending related commercial synergies between the natural gas liquids and refined product businesses. We expect these types of synergies to continue to ramp up as low capital synergy projects come online in the coming quarters. As it relates to growth projects, we continue to expect the expansion of our refined products pipeline system from Kansas to the Greater Denver area and Denver International Airport to be completed in mid-2026. In July, we provided a record volume of jet fuel to the Denver airport, further highlighting the need for additional capacity to this key market. Crude oil volumes shipped on our wholly-owned assets increased 10% year-over-year due to committed shipper volume ramps on Longhorn and increased volume from third-party connections to the Houston distribution system. Our current volumes are a good base going forward. We remain excited about the pending Medallion acquisition and what that will mean for our long-haul crude pipeline. Minimal volume from Medallion Gathering is flowing on Longhorn today and a modest amount of bridge deck volume originates from these assets. So we believe there is a great deal of upside and synergy opportunity in bringing our systems together. Over time, we expect an opportunity to direct more Medallion barrels through our long-haul pipelines as existing capacity on these medallion assets fill up. Moving on to the Natural Gas Gathering and Processing segment. Rocky Mountain region processing volumes had another record in the third quarter, averaging nearly 1.7 Bcf per day. Volumes would have likely been higher, but we experienced planned and unplanned outages late in the quarter. These carried over into early fourth quarter, but are now back online. Part of the unplanned outages resulted from North Dakota wildfires in early October, that caused volume disruptions for about one-week due to producer shut-ins, power outages and high winds that also delayed completion crews. Our employees were quick to respond to these events and volumes have returned to levels seen before the fires. There are currently 40 rigs in the Williston Basin with 21 on our dedicated acreage. We continue to see benefits from the drilling of longer laterals and higher well performance on traditional laterals. We've updated our 2024 well connects expectations to a range of 500 to 530 well connects to reflect the higher volumes we're getting from fewer wells. Increasing gas to oil ratios in the basins continue to contribute to natural gas and NGL production strength. GORs in the basin are near all-time highs and combined with longer laterals support volume growth without requiring increase in drilling activity. We are currently seeing 42 rigs in Oklahoma with seven operating on our acreage and four on EnLink's acreage. We have seen additional wells drilled in oilier NGL-rich areas even as some wells in gassier areas of region have been delayed into 2025. We continue to expect approximately 65 well connects on ONEOK's acreage and expect approximately 90 well connects on EnLink's acreage in the Mid-Continent region this year. In the Natural Gas Pipeline segment, we benefited from higher firm and interruptible transportation rates in the third quarter. Strong performance so far this year, driven by firm demand contracts and a continued high demand for natural gas storage has positioned the segment well to exceed expectations for 2024. We continue to address increased natural gas storage needs of our customers. Recently activating three Bcf of previously idled storage capacity in Texas, and we remain on track to complete our Oklahoma storage expansion project in the second quarter of 2025. Both projects have firm contracts extending beyond 2030. Additionally, we now have access to significant natural gas storage through the EnLink system and we'll look for opportunities to best utilize our assets together in the future. Pierce, that concludes my remarks.
Pierce Norton: Thank you, Sheridan and Walt. Before we wrap up, I want to take a moment to express my gratitude to our employees that have been affected by severe weather events across our operations over the past quarter from the recent wildfires in North Dakota, to the preparations for hurricanes on the Gulf Coast. These challenges have not only tested our operations, but have also disrupted the lives of our employees and their families. I sincerely thank you for your dedication to keeping our assets running safely and resiliently. Beyond that, I deeply appreciate the commitment many of you have shown to your communities whether through volunteer fire departments, relief efforts are fundraising events. And your contributions go beyond our business. They make a meaningful difference in the lives of those around you. Thank you for embodying our values and for making such a significant impact both within our company and in the communities where we live and serve. As we close out 2024, we expect an exciting and busy end of the year as we close our pending acquisition of Medallion and work toward Phase II of the EnLink transaction. Our employees have proven their ability to successfully integrate assets, systems and teams and to achieve meaningful synergies. I'm confident that with the support of our new colleagues from EnLink and Medallion and our talent – our teams will once again build on our strong track record of creating value for our stakeholders. Operator, we are now ready for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] And the first question will come from Theresa Chen with Barclays. Please go ahead.
Theresa Chen: Good morning and thank you for taking my questions. Maybe going back to Sheridan's comments about your natural gas infrastructure business, many of your peers have expressed enthusiasm in related to the robust growth outlook for natural gas infrastructure given the backdrop of power demand for a variety of reasons, including incremental demand from data centers. As commercial discussions have progressed over the past months and quarters, can you talk about how your assets situated within this backdrop and how you can participate in this being?
Sheridan Swords: Theresa, this is Sheridan. Yes, I think our assets are very well positioned there. Right now, we are in discussions or have 23 different projects across our system based on demand for natural gas. And of those 23, 10 of them, we've had people specifically site demand centers that they're working after. So we think we're in a very good position with our assets going forward. And then if you layer on EnLink's assets and what they're seeing on theirs, I think we are in a very good position to be able to capture a fair share amount of this growth in natural gas demand for data centers.
Theresa Chen: Okay. Thank you, Sheridan earlier for giving us the data points on the Medallion potential synergies to your long-haul pipeline. I'm curious, the current Medallion volumes, are they flowing primarily to Corpus or to Houston already, i.e., if they can go on Longhorn incrementally in BridgeTex, would the assumption be that they would also be additive to your Houston distribution system especially in light of Lyondell, still planning to close that refinery in that area in 2025?
Sheridan Swords: Yes, Theresa, we – some volume from Medallion obviously, as I said, is moving on BridgeTex is much smaller on Longhorn. Other volume for Medallion is moving on to the Houston area. Of course, some are still moving down to Corpus area. We think that, that's part of the big synergies we see with Medallion is to bring that volume on to our long-haul pipes through our distribution system going forward. In terms of the overall macro economics that we're seeing between Corpus and Houston, where as the Corpus pipes have filled up, we're seeing much more demand for people wanting to get into the Houston area even with the Lyondell going down. We're seeing more volume across our Seabrook terminal. We've seen other volume being exported out of the Houston area. So we think we're very well positioned at this time to be able to market volume coming off the Medallions system into the Houston area.
Theresa Chen: Thank you.
Operator: The next question will come from Jean Ann Salisbury with Bank of America. Please go ahead.
Jean Ann Salisbury: Hi. Good morning. Ethane demand for the U.S. looks pretty flat for the next few quarters until more export facilities come online. Can you talk about what you think drives the minimum possible recovery of ethane in the Bakken, whether it's a certain amount of the stream to flow on the NGL infrastructure or if it's like hitting residue gas Btu spec. And I guess, more importantly, like how far away we are from that floor?
Sheridan Swords: Sure. We think about – you're right, the overall ethane demand is kind of flat right now. A little bit will change as crackers – the utilization rates on the crackers and on turnarounds and if they're all running. But overall, what we think really is going to start driving where ethane comes out, as we said before, is going to be the gas price in the region because really, you're looking at what can ethane be recovered in the region for sale into a Mont Belvieu price or sold as a natural gas price in that region. We continue to think there's going to be opportunities in the Bakken especially during the summertime where you see more depressed natural gas in that region, we will be able to incentivize that ethane to come out as we have in the past. We've also been able to do some of that in the Oklahoma at times when we see depressed prices in Oklahoma. We see that continue to continue – we see that continuing into next year. One thing will help us a little bit with that Matterhorn coming on in the Permian. We've seen – we should see some increase in natural gas prices in the Permian area, which will make it easier to bring it out of the Bakken because you'll need higher prices ethane to bring it out of the Permian.
Jean Ann Salisbury: That makes sense. Thank you for that. And then as a follow-up, a lot of the kind of plateauing of Bakken GOR for the past few years has been caused by Bakken operators moving into higher oil cut areas from talking to your producers, do you feel that, that rate of change to the oil areas has kind of stabilized yet?
Sheridan Swords: Yes. I think overall, it's stabilized. I mean, I think with a lot of things going into the production, what's happening on production up there and GORs, we've cited that how longer laterals have an impact higher IP rates that are driven by producers having more efficient operations or more completions and different techniques. All – a lot of things that go into the growth in volume, the growth in GORs and not only just the oil plays that they're going – that they're into now. But we think where they are now is where they're going to stay for a period of time.
Jean Ann Salisbury: Great. That's all for me. Thank you.
Operator: The next question will come from Michael Blum with Wells Fargo. Please go ahead.
Michael Blum: Thanks. Good morning everyone. Maybe could you just stay on the volume discussion in the Bakken I'm trying to square your comments that you made in the prepared remarks about volumes and GOR trends with some of the recent basin level data we're looking at, which seems to show crude volumes declining a bit the last few months, gas production kind of flattening out. So I wonder if you could just talk about what you're seeing across your footprint relative to the overall basin?
Sheridan Swords: We could still see that our customers are drilling at a level that they have been for a period of time. Obviously, we've had – the wildfires did have an impact in October for everybody as a lot of producers had to shut in wells to make sure we didn't have any issues with wells catching on fire. Also some of the unplanned outages on the natural gas processing side in the third quarter had a little impact on crude production. So I think there's a little bit of add normally on infrastructure up there at this time. But as we've got through that, we've seen volumes kind of move back to where we expect them to be at this time. So I think that's a little bit of noise you're seeing in some of the volume data that you're looking at.
Michael Blum: Okay. Thanks, Sheridan. And then I wanted to ask about this over $8 billion guidance – EBITDA guidance for 2025. If I just simply annualize the Q4 results, pro forma for a full year – a full quarter contribution for EnLink and Medallion, we're getting something around $8.3 billion EBITDA run rate. And that's before any full-year contributions from West Texas, Elk Creek, et cetera. So I just want to see if we're missing something there or is that over $8 billion kind of a conservative estimate? Thanks.
Walter Hulse: Well, Michael, I think we put the adder in there as that we were comfortably over $8 billion. So I can't argue with your math at all.
Michael Blum: Thank you.
Operator: The next question will come from Brendan Reddy with JPMorgan. Please go ahead.
Brendan Reddy: Hey. Good morning. For the stand-alone adjusted EBITDA rate, I was wondering if you could maybe just parse through how much of that is attributable to the legacy asset sales that you guys had last quarter and the Easton NGL asset acquisition versus base business strength, which you guys talked a bit about in the prepared remarks?
Walter Hulse: I'm sorry, could you repeat that, please?
Brendan Reddy: Just curious if you could parse through how much of the stand-alone adjusted EBITDA guidance raise was the legacy asset sale that you guys had last quarter, Easton NGL acquisition and base business strength?
Walter Hulse: Well, the asset sale was actually caught up in the first guidance uplift. So as we moved into this $100 million increase, it's really against strength across all of our businesses, which we listed out in my remarks. So we're just seeing good momentum across all the businesses as we head into 2025.
Brendan Reddy: Got it. And on the Bakken, we've hit a couple of different times. But on the lateral length, it looks like that was lowered a bit for the 2024 guidance. Curious if you could walk through any drivers there that we haven't hit already?
Sheridan Swords: Yes. It just kind of depends on who's drilling the wells and what their acreage looks like and what they're trying to go forward. And so as we talk to them, there's been – some of them have delayed some of that may push out a little bit into 2025. So we made a little bit more in 2025. I will say the other thing we're also seeing lateral lengths and this kind of gets a little bit shadowed by the lateral lengths as we are seeing their completion techniques and the advancement in that and efficiencies of that really starting to shine through, and we're really starting to see really good volumes coming out of all the wells that are being completed.
Brendan Reddy: Great. Thank you.
Operator: The next question will come from Neal Dingmann with Truist. Please go ahead.
Neal Dingmann: Good morning, guys. I was hoping that maybe I could ask another question around the $8 billion 2025 EBITDA guide, specifically just curious to maybe some of the base assumptions around that, such as how you're thinking about for next year commodity prices or overall production along with your CapEx? And also maybe wondering, I guess, maybe you all are somewhat indifferent on these macro prices and volumes, given just the specific company upside you see post all your accretive deals?
Walter Hulse: Well, first of all, I want to just clarify that we didn't give 2025 guidance. We kind of gave you a directional outlook of where we see things going. And we will provide a whole lot more clarity around all of the different variables that you laid out there. In February, when we give our full 2025 guidance. But until we get there, we're going to leave it at the remarks we've made today.
Neal Dingmann: Okay. That's well taken. And then just a quick follow-up. My question is on ethane. I'm just wondering, could you specifically remind me, I guess the volatility that you all continue to see with the product, and I assume the weak natural gas prices will – such as we've seen in Waha, will continue to be the driver behind the recovery decisions?
Sheridan Swords: Yes. That's very true. The price of natural gas is going to drive, be the main driver behind our recovery. But that price of natural gas, you got to look at it for the regions. You've got to go all the way what's going to be – what's the price of natural gas in the Bakken, what’s the price of natural gas is in the Mid-Continent, what the price of natural gas is in the Permian.
Neal Dingmann: Very good. I'll leave it there. Thank you all.
Operator: Your next question will come from Keith Stanley with Wolfe Research. Please go ahead.
Keith Stanley: Hi. Good morning. First, I wanted to check in and see if the EnLink Conflicts Committee has determined the vote requirement yet to approve a sale of the public interest? And then are there any other procedural steps that are needed prior to ONEOK being in a position to offer to buy the remaining stake.
Walter Hulse: We haven't disclosed our intention to pursue the acquisition of all the outstanding public units of EnLink in a tax retransaction that would provide a meaningful dividend increase to all of the EnLink unit holders. And when we have further information to disclose around that, we will, when it's appropriate. But I would say that we have cleared HSR review for both Phase I and Phase II. So there are no more procedural types of things that we need to get through.
Keith Stanley: Got it. Thanks. Second one, I'm just curious on the $2 billion buyback plan through 2027 and given where leverage is, how you're thinking about capacity for buybacks next year specifically? And then kind of thinking back just more big picture, how are you viewing buybacks in the context of you just acquired GIP stake and EnLink and Medallion in what was a very equity friendly way as it was fully debt financed. Just curious if that impacts how you think about buybacks?
Walter Hulse: Well, I'm glad you pointed out that because I would – I could make the argument that we just did a $3.3 billion buyback by using that cash. But that said, we still have the same capital allocation strategy that we announced in January. The EnLink and Medallion transactions are roughly about 20% accretive from a free cash flow standpoint. So we will continue to have even more cash flow as we go forward to think about buybacks. We're going to let that leverage come down in line where we intended to before we change any of our predictions around buybacks, but we have not – at this point, we don't believe there's any reason to change the target on the $2 billion buyback that we've already gone out there, even though we did do a pretty big buyback with GIP as well.
Keith Stanley: Thank you.
Operator: Thank you. The next question will come from Manav Gupta with UBS. Please go ahead.
Manav Gupta: Guys, my first question is, it's been almost a year now that you have been operating these Magellan assets. And generally, when the year has passed, there is always some upsides, the assets performed better than expectations in certain areas. So if you could highlight that, which is allowing you to raise the synergy and also if there is any area where you probably had to do a little more work than you initially thought to capture those synergies?
Sheridan Swords: Yes. This is Sheridan. Yes, as you said, we've been very pleased with how the synergies have come in and especially when we look into 2025, as I said in my remarks, we're going to start to see the small capital projects that we put in place in 2024, completed and see the earnings start growing from that. And those are where I think we were probably the most surprised going into this is some of the small acquisitions. I mean small capital project that we could do and the returns that we could get on that. So we're coming into a time that we're pretty excited about how we're going to see the businesses go together. I think the other area is just inefficiencies across any part of our system is we've got the two – when we get the two business groups together and got the people down in the business that really know how things are working, and they are really became innovative and how we can reduce cost to get butane to the right locations, how we can use other assets to move volume better through our systems. How we can connect the two systems together to take trucks off the road, moving butane to move them onto pipelines. How we think about projects to upsize pipelines going into the Denver International Airport. So I think there's a lot of things that we've been very excited about. I really haven't seen too much where we think that it was a lot harder than we thought it was going to be mainly I've been surprised that all the additional synergies that the two teams getting together have come up with and excited to see them really start to come together in 2025 and beyond.
Manav Gupta: Perfect. My quick follow-up is exactly like you have seen over with Magellan. And you talked about some moving Medallion volumes on your systems. Have you also identified some growth projects stand-alone at the Medallion level which will allow you to grow the EBITDA from the assets which you're about to acquire?
Sheridan Swords: We haven't necessarily had the specific growth projects on Medallion that we put in there. We know there's going to be some. What I will tell you is we learned through Magellan as we have certain buckets that we're going to get synergies in there, but we know there's going to be even more than that once we start looking under the hood, and we start getting the teams together and really have them working together and figure out other ways to be creative that we'll find some of those low-hanging fruit, low capital projects that we hadn't thought of when we put it in the buckets when we went in through the acquisition.
Manav Gupta: Thank you so much for taking my questions.
Operator: The next question will come from AJ O'Donnell with TPH. Please go ahead.
AJ O'Donnell: Good morning everyone. Thanks for taking my question. Just wondering if I could go to the updated consolidated financial guidance. Curious if you guys would be able to provide some comments as to the breakdown of the contributions. The increase is about $350 million to the midpoint of the stand-alone guide I'm just curious how those parts come together and if there are any early synergies from the deal that are included in that number.
Walter Hulse: Yes. No, I think that you can just look at the public data that we've seen out there, we clearly gave you our stand-alone guidance. So I think if you use EnLink, the Medallion will fall out as the piece that is there. As hard as we try to grab synergies in the first two months is that's a pretty aggressive challenge. So I think right now, it's pretty much just additive from the businesses as they come in, and we start to get the teams really ginned up to work together. So stay tuned on the synergies as we go into 2025.
AJ O'Donnell: Okay. Thanks. Then one more quick one. I realize the EnLink assets are pretty fresh. But now that they're under your control, just curious if you guys plan to continue with EnLink's growth capital backlog, particularly any of their growth projects around the Louisiana area?
Walter Hulse: Clearly, we're going to work with the team there to look at all of the projects and I think really look at what other opportunities we might be able to accelerate and look to really meet our customers' demand across all of their businesses. So we have not taken anything that was planned off the table, and we're going to spend time now to really look at those and prioritize where we see the growth opportunities.
Pierce Norton: And this is Pierce. The only thing I would add to that is we do believe that probably the majority of the growth will be related to the natural gas side of the business because the size of the pipes and because of the capacities. We've mentioned AI before, a lot of industrial corridors down there as things expand in those areas. So we feel very positive about the intrastate and the natural gas side of the business down there.
AJ O'Donnell: Great. Thank you.
Operator: The next question will come from Sunil Sibal with Seaport Global Securities. Please go ahead.
Sunil Sibal: Yes. Hi. Good morning, everybody. And thanks for the time. So first of all, just sticking to the consolidation theme. I was curious at the time of Magellan acquisition, I think the range for synergies was given was around 200 to 400 plus, one-year out, where do you think you are in that range as of now?
Walter Hulse: I think we might have our Medallion and our Magellan – if we're talking about one year out, you are really referring to the Magellan synergies at that point?
Sunil Sibal: Yes. So definitely to the Magellan synergies.
Walter Hulse: Okay. Yes. We do that all the time. We get the two of them mixed up as we talk about. I think we're right on track, if not ahead of schedule a little bit as it related to the synergies that we've outlined as part of our specific guidance. At the second quarter, we said that we were very comfortable that we would meet or exceed synergies. And I think we feel the same way today as we head into 2025 on the Magellan side. The teams, as Sheridan said, are working incredibly well together, and we're just finding more and more opportunities. And a lot of those were low-capital type of things that we've just been working on now and we'll start to see the benefits in 2025 and 2026. So we couldn't be more pleased with where we stand as it relates to the Magellan integration and how those synergies have come to the fold so far.
Sunil Sibal: Okay. Thanks for that. And then I realize you're pretty early in terms of EnLink and Medallion. But I was curious if you have any thoughts on further consolidation opportunities in this space?
Sheridan Swords: Yes. I think when we think about what we see in front of us, I mean if you look at the maps and tell where we've been looking, we think that the Mid-Continent on the G&P side, there's a lot of opportunities there. EnLink gives us a little bit more coverage, especially on the western part of the state. We have some more – using the two systems together, I think we're going to be more efficient, moving gas around. Obviously, we look down into the Permian. We've already talked about being able to feed and fill our assets with both EnLink and Medallion beating our long-haul pipes as we continue to go forward, we think being bringing a integrated value chain to the table that's going to make both EnLink and Medallion even more competitive on getting additional new volume in that area. And then as Pierce just mentioned, Louisiana, we think there's a lot of opportunities in Louisiana. And as Louisiana is a big demand center, both industrial and for AI out there.
Sunil Sibal: Okay. Thanks for that.
Operator: The last question for today will come from Craig Shere with Tuohy Brothers. Please go ahead.
Craig Shere: Hi. Thanks for taking the questions. So just real quickly, things have shifted a little bit since you announced these latest deals a couple of months ago. Could you see any notable acquisition upside in terms of overall economics from a notable relaxation of drilling and/or LNG permitting regs. And through your latest acquisitions just enhance your long-term interest and ultimately getting into liquids exports.
Sheridan Swords: Well, Craig, this is Sheridan. What I would say as we look at Louisiana, obviously, there's a lot of LNG exports out of there. And with our pipe infrastructure there, we think that we have the ability with the larger diameter pipes that Pierce talked about to be able to pull volume through our system to be able to feed that LNG, the existing ones and new ones there. There's still ones that being talked about out there. And if there is a relaxation in the regs, I think you'll see even more come on to the Louisiana shore. So we like the position that EnLink puts us in there to be able to kind of be that last mile into some of these LNG facilities.
Craig Shere: Thanks. Any other thoughts about exports?
Sheridan Swords: As we continue to think a new – as energy continues to grow in the United States, it's going to be exported. And so we continue to look at where our position is there and evaluate where our needs are. And at the right time if we think we need to expand our abilities on exports, we will do it.
Craig Shere: Fair enough. Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Andrew Ziola for any closing remarks. Please go ahead.
Andrew Ziola: Well, thank you all for joining us. Our quiet period for the fourth quarter and year-end starts when we close our books early next year and extends until we release earnings in late February. We'll provide details for that conference call at a later date. Thank you all for joining us, and have a good day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.